Gilles Grapinet: Many thanks, operator. Ladies and gentlemen, good morning. This is indeed Gilles Grapinet speaking. Thank you for attending today's Worldline conf call on our first half 2021 results. As usual, I'm going to share the presentation with our Deputy CEO, Marc-Henri Desportes; and with Eric Heurtaux, our Group CFO. Well, to start, I have 4 key messages for you to highlight the main achievements of the first semester. And my first message is a message of satisfaction, both operationally and strategically. I'm really happy to report that this first half is solidly in line with the expected trajectory presented in February 2021. Indeed, despite the third wave of COVID impacting our Q1 2021 performance, the group has been able to accelerate strongly during the second quarter with a double-digit organic growth rate fueled in particular by our Merchant Services activity. Hence, for the first half of 2021, we have enjoyed a slightly positive organic growth rate overall, above our initial expectation to be flat or slightly negative. On both OMDA and free cash flow, we have delivered a very solid performance, reflecting the group agility to deliver margin improvement and to produce a steady cash flow generation in this challenging COVID environment. Second message and second highlight of the semester is that, as expected, we enjoyed a strong recovery of our transaction volumes in the course of the second quarter with a 14% growth versus 2020. But maybe the most important point to flag here is the fact that since the end of March 2021, transaction volumes on our platforms have been even above 2019 levels illustrating the confirmed resilient change of consumer behavior and the acceleration of cashless trends in our main countries. These facts feed the catch-up opportunity for a company like Worldline when economies progressively reopened despite the fact that we do not still have all the benefits coming from international travel. Third key message of the semester is related to our M&A activity. I dare to say that H1 2021 is probably one of the most successful semester ever of the group from an M&A standpoint with no less than 3 acquisitions announced since January. This is highlighting the relevance and competitiveness of the Worldline value proposition post Ingenico towards, in particular, bank partners divesting their payment assets and looking simultaneously to a long-term, reliable partner. In Southern Europe, as you already know, we signed the acquisition of Cardlink in Greece and more recently the acquisition of 80% of Axepta Italy while setting a joint venture 80-20 with the BNL banking group over there. In the Nordic region, we are proud to announce today the important acquisition of Handelsbanken Card Acquiring activities and the signing of an alliance with this highly regarded banking group, which Marc-Henri Desportes will detail further in a minute. These 3 recent operations are fully consistent with our expansion strategy after Ingenico and are addressing both fast-growing and high-potential markets where the group was either not present or where we can leverage an existing footprint, such as in the Nordics, offering us in all cases very significant cost and revenue synergies while expanding our already unique Pan-European reach. Fourth message is, of course, that with the materialization of our underlying scenarios allowing us to deliver a solid first half performance and based on the most recent information available regarding the health situation, we can confirm our central assumptions for the second half of the year implying a circa double-digit growth rate in the months to come. Thus, we reiterate our full year guidance for this year. Going to the next page. I believe that our first half 2021 figure reflects the group ability to accelerate growth in a more normalized macroeconomic context. Indeed, revenue for H1 2021 was EUR 2.27 billion, representing a slightly positive organic growth at 0.1% compared to H1 2020 at constant scope and exchange rates. More importantly, this first half performance embedded a strong organic growth of 10.1% in Q2, driven in particular by our Merchant Services activities, highlighting the group capacity to rebound very strongly as soon as our main economies reopen. Regarding our profitability. Our OMDA reached EUR 531 million, representing a 23.4% of revenue or 130 basis point improvement compared to H1 '20. This margin improvement is fully in line with our full year trajectory to grow our OMDA margin by circa 200 basis points, the second half being more favorably impacted by the expected strong growth of revenues and synergy delivery. First half 2021 free cash flow was EUR 268 million representing a conversion ratio of 50.3% of OMDA, thanks to the strong cash management and control put in place by Eric and his team. Normalized net income group share reached EUR 276 million, representing 12.1% of revenue. And normalized EPS reached EUR 0.96 per share, up 55%, demonstrating the immediate and very positive contribution of the acquisition of Ingenico. As you can see, all our first half 2021 objectives have been reached, reinforcing our full year trajectory. Marc-Henri will now comment on the first half strategic operational and commercial achievements before leaving the floor to Eric for the detailed H1 '21 figures.
Marc-Henri Desportes: Thank you, Gilles, and good morning to you all. Let me start by the 2 successful strategic developments we have executed in Southern Europe with the acquisition of Cardlink in Greece and the joint venture with BNL banking group in Italy through the acquisition of Axepta Italy. The 2 operations fit perfectly with our strategic objective to further expand Worldline's reach and scale in Europe and more specifically in Southern Europe with the expansion of Merchant Services footprint in 2 promising and fast-growing countries for electronic payments, driven by the cash-to-card shift, development of digital and online payments and the high exposure to credit cards with tourism representing a big driver of our economics, as well as strategic long-term partnership with the major local banks leveraging their networks and offering added growth opportunity. You know the benefits of these transactions that we have already described it during the first half in dedicated announcement. But I would like to emphasize that these operations offer 2 solid consolidation platforms to further expand Worlds presence in Greece and in Italy. The third operation we announced today is the acquisition of Handelsbanken's Card Acquiring activities in the Nordics as we see on the next page. This acquisition is a step further to our European expansion in the Nordics market, which is a key strategic opportunity to leverage and accelerate our historical presence in the region, partnering with Handelsbanken, one of the leading banking group in the Nordics with strong position in Sweden. The key points to return on this operation are: the Nordic region is a very attractive payment market, driven by a strong GDP growth, a strong dynamic in digital payments expected to grow double digits and an accelerated growth in e-com growing 2 to 3x faster than digital retail. In that market, on Handelsbanken Card Acquiring is a compelling merchant acquiring activity, bringing to Worldline a reinforcement of a Pan-Nordic addressable market presence, high-quality diversified merchant portfolio delivering solid transaction volume flows and a long-term relationship with Handelsbanken, one of the leading banks in the region to leverage existing offerings to accelerate the growth profile. The strong market position of Handelsbanken, coupled with Worldline's global scale, best-in-class technology and payment expertise as well as the local excellence of former Bambora teams now part of our group since the acquisition of Ingenico will allow the entity to grow revenue at a double-digit rate in the coming years. This accelerated growth rate will be delivered, leveraging our local operations and through the rollout of Worldline existing successful one-stop shop offering to the existing merchant portfolio for both SMBs and large retailers on top of a long-term commercial partnership with the bank fostering growth opportunities as mentioned. We expect to close the transaction by year-end 2021 for a cash out of EUR 195 million. At closing, Handelsbanken Card Acquiring would bring to Worldline circa EUR 35 million of revenue with a strong organic growth development growth synergies and an OMDA margin above 30% with further expansion potential, thanks to the expected organic growth and circa EUR 10 million of synergies by 2025. Most important takeaway from Worldline M&A activity is the group success in expanding its global European footprint in targeted geographies while validating the bank-friendly strategy and the preferred partner for payment assets outsourcing positioning. As you can see in the map on the following slide, Worldline has massively increased its geographical footprint in Europe. It's not only a geographical expansion, it's also a significant upgrade of our global activities improving strongly our offerings, both in store and online, the volume process on our platform offering efficiencies and our merchant exposure to the Worldline solution. With meaningful scale offers definitely added growth opportunity with Worldline through best-in-class global omnichannel offering for cross-border merchants, supporting them with full end-to-end solution fitting with our own European exposure. We also see in our pipeline large deal opportunities, thanks to our ability to deliver such offerings at the European scale. The compelling scale and product offering matching bank needs for larger outsourcing deals today our pipeline of commercial opportunity in Financial Services is reinforced both in quality and value with a higher proportion of new businesses versus renewal and the qualification for several significant outsourcing deals confirming the appealing profile of our platforms. The positioning of Worldline as a partner offers for several fintechs willing to distribute their offering at scale with Worldline enriching the payment ecosystem with a full suite of solutions to a very large merchant portfolio. And last but not least, the active involvement of the group in Pan-European and regulatory initiatives, such as EPI or the digital euro, being a prominent partner shaping the future of the European payment market. The key point here is that we have transformed ourselves further into a strategic -- key strategic partner. Central is the European payment ecosystem, which allows us to face other growth opportunities going forward supporting our merchants and banking partners at scale. Now coming back to our first half performance. We were focused on our transaction volumes. As you can see on the left-hand side chart, we have enjoyed since March 2021 an acceleration of our transaction volumes driven by the progressive reopening of economies in our core countries. It has been supported as well by the strong adaptation of merchants over the past 12 months after 3 waves of restrictions. The major points to underline are an acceleration for the semester of transaction volume with a strong pickup starting in March 2021; some positive signs on intra-European travel and dynamic currency conversion at the end of June to be confirmed in the coming months; and a market still driven by the shift of consumer habits, which is sustainable and COVID-triggered and which results in a solid double-digit growth in digital and online segments with in-store activities being back to growth thanks to a strong support of contactless transactions. But more importantly, I would like to point that since March 2021 and even more significantly so in June, our transaction volumes have been above the pre-COVID level of 2019, illustrating the ability of payment markets to recover strongly upon normalization and the relevance of Worldline offering in that environment, providing added value growth levels. Last but not least, this performance has been delivered despite the fact that we do not still have the full contribution of credit card transactions as intercontinental travel is not back, which will offer upside opportunities going forward. My most important takeaway from this slide is the strong capacity of the group to deliver steady growth when the health situation normalizes, leveraging its global scale and reach to sales opportunities. Now let's have a look at Q2 commercial activities and achievements. On the commercial activity, I will be brief and highlight one key example per business line and you will find more on this slide. Commencing with Merchant Services, we continued to support merchants in their digitization acceleration. One notable example was one of the largest European direct distributor of frozen fruits and ice cream, Bofrost* chose Worldline to implement a user-friendly payment solution for the company's direct sales channel representing 130 distribution drivers in Switzerland. In Financial Services, we signed a 5-year agreement with Luminor Bank in the Baltics to unify and upgrade Luminor's current ATM network, offering to the bank customers a more customer-friendly and newer ATM network. In MeTS, we have been awarded an additional 5-year contract with a large U.K. train operator to deliver a seamless integration of systems and data flows for on-the-day operational controls and running trains, mitigating any disruption and providing real-time trends, crew visibility and crew management through mobile applications. And in TSS, more than an example, I would like to underline that we have enjoyed a continued strong traction of the TaaS offering with several contracts signed since the closing of Ingenico transaction, representing a TCV of above EUR 100 million and delivering recurring revenues above EUR 70 million. Let's move to the Ingenico integration process to conclude this part. Our 2021 integration road map is in full motion. Our key achievements for the first half of 2021 are the following: the merger of our headquarter in a single building by the end of 2021 is fully prepared and we have launched numerous other real estate convergence program. We have deployed successfully internal mobility program, enabling a reskilling of staff to new positions. Our key internal IT processes and systems have been harmonized such as the application landscape, including central ERP rollout, employee portal and payroll systems as well as PC and workspace. We have launched a structural project with the payment platform harmonization program, particularly for the infrastructure, including data center consolidation program, network unification and for the acquiring and acceptance platform conversions. Finally, we have defined a new CRM solution to foster the efficiency of the end-to-end sales process for implementation in 2022. All these progresses are fully in line with the full year synergy trajectory to deliver EUR 66 million OMDA impact that we confirm. And now I hand over to Eric to present you the details of our financial performance before a wrap-up and conclusion from Gilles.
Eric Heurtaux: Thank you, Marc-Henri, and good morning to you all. I will start with an overview of our revenue performance in H1 2021. During the first half, Worldline's revenue was EUR 2.272 billion posting a double-digit growth and a strong revenue recovery in the second quarter, compensating the first quarter decline triggered by the third wave of COVID. All services division are up in H1 and closed all above 2019 H1. Overall, in the first half of 2021, organic revenue was slightly positive at 0.1%. I will come back with more details on the next slide regarding the phasing of the first half by division. Now regarding the OMDA performance. During the first half of 2021, Worldline's OMDA reached EUR 531 million, representing a 23.4% OMDA margin. It represents 130 bps improvement in profitability. Let me now detail this number by business line. Here, I would like to cover the revenue building blocks for first half 2021 and the phasing of our performance in Q1 that you already know and in Q2 where we enjoyed strong growth acceleration. As a reminder, our Q1 performance was a 9% organic decline, as you can see in the chart, with all GBL posting a negative evolution versus a rather strong Q1 2020, which was only impacted by COVID the last weeks of March. More important is the trend over the semester with the Q2 performance up 10.1% organically. Merchant Services enjoyed high double-digit growth at 18.6% in Q2. The performance is fully driven by the recovery of the transaction volume, as described earlier by Marc-Henri, for both online and in-store and as well across all underlying segments such as commercial acquiring, payment acceptance and digital services. I would like to highlight that in euro-denominating, our Q2 performance of MS has quietly compensated the combined drop of revenue experienced in Q1 by MS and TSS, illustrating the benefit of our strategic expansion towards Merchant Services activities. Financial Services showed circa 4% organic growth in Q2, compensating fully the Q1 performance. This performance has been driven by, first, higher volume on our issuing and acquiring platform and as well the ramping up of new contracts; second, a strong dynamic for the digital banking activity driven by online authentication flows and increasing volumes on account payments. TSS activities are back to growth, up 1.6% organically in the second quarter, with an overall solid dynamics in Western Europe, Latin America and Australia. All regions fueled by the delivery of projects and showing a strong pipeline for the second part of the year. In parallel, the Chinese domestic market continued to decline on the back of a low investment level from banks. This trend has a limited impact on TSS profitability, however, China being a structurally low market for margin -- low-margin market. Without China, TSS growth rate for Q2 would have been in the upper single-digit rate. MTS revenue has been accelerated in Q2 with organic growth approaching double digits at 9.4%, mainly driven by a strong pickup of the transportation sector in the group key countries in Europe as well as higher fare collection in Latin America, but also supported by steady double-digit growth in Trusted Digitization, notably led by projects and improved volumes in France, higher volumes on tax collection in Latin America and more project activity in e-archiving solutions in Germany. Overall, our Q2 performance is solid and fully in line with our expectation of the progressive recovery of activities along the quarter. Now moving to the next slide regarding OMDA. After having been impacted by top line negative evolution in Q1, profitability has risen significantly in Q2. Overall, in the context of high top line growth in H1, our OMDA is up 6% organically to EUR 531 million, showing a 130 basis point improvement in terms of OMDA margin reaching 23.4%. This performance is driven by the ability of our business line to deliver margin expansion through efficiency programs and synergy execution. In more detail, MS profitability is up 190 basis points to 22.9%, benefiting from cost control actions, the execution of synergies from Ingenico and SPS and ongoing transversal productivity improvement actions. The division benefited as well from its tight cost base, providing operating leverage over the course of the second quarter. FS OMDA margin was down 80% -- 80 basis points to 28.8%, still at a high level, impacted by the ramp-up and build phase of new contracts as well as the soft start of new projects at the beginning of the period despite significant improvements of its cost base. TSS performance came with a 70 basis point improvement in OMDA margin to 25.7%, mostly driven by the product mix and the transformation of cost-saving plans leading to a leaner cost base. MTS profitability is up 60 basis points to 14.8%. The business line benefited from the positive trend in e-Ticketing mainly in the U.K. and LatAm fueled by transaction recovery post COVID and have been able to leverage the scalability of product investment plans on top of tight cost management. Finally, on the corporate side, we have pursued the strong actions taken to deliver synergies and streamline our cost base, reducing our corporate costs by EUR 10 million over the semester or an improvement of 50 basis points. Globally, it's a strong achievement in the current phasing of the first half, and this evolution fully confirms our full year trajectory. Now moving from the OMDA to the other element of the income statement. Nonrecurring items reached EUR 250 million and consisted globally of purchase price allocation amortization for EUR 151 million, mostly linked to Ingenico acquisition and integration and post acquisition cost of EUR 51 million corresponding to Ingenico integration costs and the remaining part of SIX Payment Services integration costs. All the increase of this 2020 statutory number can be explained by Ingenico combination and synergy plan. As a result, operating income for the first half 2021 was EUR 144 million. Net financial expense amounted to EUR 13 million, in particular due to the net cost of financial debt of EUR 23 million for the interest of Ingenico bonds, the bonds that OCEANE issued in 2020 and the full effect of the ones issued in 2019, partly offset by the favorable effect of a fair value on Visa shares. The tax charge was EUR 31 million with an ETR of 23.3% in H1 2021, in line with H1 last year and consistent with our objective to maintain the full year rate close to 2020 level. As a result of the items above, net income group share was EUR 102 million. The normalized net income stood at EUR 276 million, representing 12.1% of revenue versus 10.5% in H1 2020. And our normalized diluted EPS reached EUR 0.96 compared to EUR 0.62 in H1 '20, representing more than 50% improvement and illustrating the benefit at EPS level of the acquisition of Ingenico. Regarding the cash flow statement. The main parameter of our free cash flow generation are CapEx at EUR 108 million. This amount should pick up in H2 '21 with the expected growth acceleration and our objective of 5% to 6% of revenue. The change in working capital requirement in June '21 brings, as anticipated, a positive contribution of EUR 58 million, reflecting the alignment of contractual T&Cs between Worldline and Ingenico, which should normalize in the second half of 2021. Integration costs were fully in line with expectations and mostly related to Ingenico post-acquisition integration. Overall, the H1 free cash flow was EUR 268 million, representing 50.3% of OMDA, supporting our full year trajectory. It's a strong achievement reflecting our ability to deliver quick wins on the synergy side while optimizing implementation costs and a free cash management policy. Let's now look at the net debt evolution on this slide. The group net debt decreased to EUR 2.939 billion against EUR 3.211 billion at the beginning of the year. The main driver of this evolution is the strong cash generation we have delivered during the first half 2021. Our net debt trajectory is well in line with our expectations at the end of the semester. After describing the first half of the year, let's now move to H2 '21 and what we expect in terms of revenue scenario. I remind you that the events of the first semester was fully in line with our initial scenario, allowing us to deliver a solid performance accordingly. For the second half, based on the most recent information available to date regarding the health situation, our scenario presented in February 2021 remains unchanged and assume the following hypothesis: the easing of domestic restriction with end of lockdowns for nonessential merchants, end of curfew and border restriction; intra-European travel allowed and a progressive return to normal level of travel flows, though without significant intercontinental travel. Based on these assumptions, we expect to pursue the acceleration experience in Q2 with a circa double-digit growth rate in H2. Here, you have now the full scenario trends we have taken into account to build our full year guidance. And I hand over to Gilles for the conclusion.
Gilles Grapinet: Many thanks, Eric. And now moving indeed to the conclusion and the key takeaways of the first semester. I would like to start with the strong execution of the Worldline strategic initiatives. Regarding, first, the TSS strategic review. We have made significant progresses in the context of a successful initiative transformation path towards more recurring revenue in this business division. By year-end, we will have decided and probably started to execute between 2 main options. The first one would be to rely on a new owner of quality to drive this TSS transformation in the coming years through the execution of its new development project; or which would be the second option, to decide to keep it within the group and progress one step further on this promising transformation journey to TaaS and PPaaS before reconsidering an exit in a more stable post-COVID macro environment. On the M&A front, the past 8 months have been amongst the most successful ever for our group. It reflects, in particular, the relevance of our new group enhanced value proposition towards divesting banks. This successful go-to-market is, as you know, orchestrated by our central M&A team jointly with our newly created division, Merchant Services for Financial Institution business unit, within our MS organization. As you know, since the closing of Ingenico, we have, with the collaboration between these 2 entities, successfully executed 4 acquisitions, out of which 3 joint ventures or bank partnerships. It is a splendid start for this MS-FI business unit. And now if I want to take a step back and to share with you a broader view of these achievements and the very material add-on it represents for our Worldline Merchant Services deal, I can share with you first that through the 4 acquisitions signed since the closing of Ingenico, including ANZ, we strongly extended our geographical presence. We brought an additional 375,000 merchants to our 1 million merchant portfolio at the closing of Ingenico. And we are adding 3.3 billion transaction versus the 19 billion transaction at the closing of Ingenico. Financially speaking, these 4 acquisitions combined are representing EUR 300 million added revenue to our Merchant Services business unit. This revenue growing double digit and generating an average 24% OMDA margin with potential upside fueled by operating leverage and combined EUR 50 million synergy. Third message. While we won these deals through competitive divestment processes against U.S. and European peers, these transactions have been executed at an average OMDA multiple of circa 15x before run rate synergies, which is well below the group average and thus creating immediate value for all stakeholders, which is clearly showing the ability of Worldline to convince banks without overpaying. And to make a last comparison and repositioning the size of these combined operations, the combined contribution of these 4 acquisitions are representing circa 60% of what SPS, SIX Payment Services, brought to Worldline at the acquisition time and circa 14% of our Merchant Services 2020 pro forma figures. We are with the team in full execution of our strategic road map in parallel of the Ingenico integration, pursuing the expansion of our Merchant Services activities all across Europe to provide at scale our offers to merchants and now numerous bank partners. Now turning to the operational takeaway. First, we have delivered, as you could see, with Eric comments, a very solid organic performance over this semester on all parameters. And 8 months after the closing of the Ingenico transaction, this is definitely highlighting the relevance and all the benefits that we start to harvest from this remarkable combination. Second is that we are in full speed regarding the execution of the Ingenico synergy road map. Marc-Henri mentioned it, we are fully confirming our EUR 66 million objective for 2021. And these synergies, I remind, will come on top of the third year of the SIX Payment Services synergy plan contributing for an additional EUR 27 million this year. Last and certainly the most important, Worldline is fully ready at the turn of the second semester to take advantage and capture the strong post-COVID growth momentum during the second half and beyond in the coming years and to continue a very robust margin expansion and solid free cash flow conversion. So based on the solid H1 2021, with the ongoing recovery in transaction volumes seen starting from the end of March and the modeling presented by Eric earlier, I fully reiterate our 2021 guidance with at least mid-single-digit revenue organic growth and OMDA margin improvement by circa 200 basis points compared to the 2020 pro forma margin of 23.9%, including Ingenico on a full year basis. And finally, an OMDA conversion rate into free cash flow of circa 50%. And now to conclude, I am very pleased to announce that we will hold our Investor Day on October 27, 2021, in Paris during which we will present our new 3-year strategic plan. Hopefully, for the time being, it will be a live and in-person event with our leadership team presenting you the new Worldline and its midterm ambition. We will come back to you in the months to come with all the details. Thank you very much for your attention so far, and I am now ready with Marc-Henri and Eric to take your questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Josh Levin from Autonomous Research.
Josh Levin: I have 2 questions. Gilles, as you pointed out, in recent months, you've announced deals in Italy, Greece, now the Nordics. But they've all been on the smaller side. Does this mean the era of big transformative acquisitions is over and the strategy going forward will likely focus on consolidation through multiple smaller acquisitions and deals? And then the second question, on Slide 9, you show how 2021 volumes have tracked above 2019 levels year-to-date, even much more so in 2Q '21. Some of your peers in Europe have only seen positive volume growth versus 2019 starting in May and yet they've given a higher revenue growth guidance than you have. So how can we reconcile that? To what extent have you baked in conservatism into your guidance? Or is it maybe the take rate on these volumes is lower or something else altogether?
Gilles Grapinet: Josh, good to hear you. And well, I will take your first question. I will probably then give the floor to Eric for the second one and maybe also add my own comments. Well, I mean, what I can say to your first question is that we have clearly 2 tracks in action. Indeed, what I wanted to share with you is that we actually have a very significant stream of bank divesting, let's call them, medium-sized portfolios or payment activity. This is a great, great journey to go after, country by country, this local portfolio because reality is that this is also the way Europe is structured. You have still many domestic banks having primarily a local position or just a big position in a country and sometime adjacent position in the neighboring countries. And if you want to consolidate European payments, you need also to go after these assets. The good news here, as you could see over the last month, is that there is a very, very solid trend for banks and local domestic champions divesting these payment activities and we want absolutely to go after this one. It is also one of the way to build a big champion for European payments. It is made also of this series of medium-sized acquisitions. The benefit, as I mentioned in my last comment in the conclusion is that if you look at it from a financial standpoint, it represents a super, super opportunity for the group not only in terms of business because, in the end, if you pilot these deals, you start to have something which is very material in terms of impact to the business, the geographic reach of Worldline, but also financially speaking it is fantastically value-creative for our stakeholders given the average multiple at which we can acquire these assets versus our current multiple. And on top of that, the very huge synergy potential these deals represent, not even talking about the fact that being medium-sized, of course, the execution risk is extremely, extremely well controlled. So for all these reasons, this leg will go on and we are extremely keen to pursue having these medium-sized deals piling up together to pursue expanding the group presence wherever these opportunities will appear. This said, of course, the era of big transformative deal is absolutely not over at all. The consolidation trend is still there. Larger banks will also participate into this game, as you know, as they have started in some countries or in the past years. It happens just that these opportunities are, by definition, a bit less numerous than the medium-sized one, which is also a growth curve in terms of concentration of the payment volumes. But it will take place. We are also working on this. And of course, there can be also, as we saw in '19 and in 2020, merger between pure players not related to bank ownership here. But as we saw in the U.S. or in Europe, the next big era of big deal can also take place between pure players. So it is clearly an M&A strategy with 2 legs. But we wanted to industrialize with the creation of the Merchant Services for Financial Institution. We wanted to industrialize our go-to-market to capture the medium-sized deals and we are super happy to see how well it works. Eric?
Eric Heurtaux: On the second question, indeed, we have enjoyed growth versus 2019 in numbers of transactions, which translated also in growth versus '19, as I said, or close to growth in most of our service units in H1. We have seen, as our peers, an acceleration, of course, in May and June and we ended up with a very strong growth in Q2, as you could note, in particular, on MS, where our growth rate for the quarter reached 19%. And I think this is to this number that most of our peers compare themselves. They are more skewed towards these activities. Now we have a blend of activities within our portfolio, which gives us also some resilience. You remember that last year, we registered quite well to this period we experienced. And all in all, this is this blend with, of course, MS being at the forefront that brings us to believe that we should grow double digits in H2.
Gilles Grapinet: Thank you. And I would like just to add the last comment that the guidance on the revenue, as you certainly noted, Josh, is very carefully crafted and it says at least mid-single digit. And so I believe you can see what it means. It will also a bit depend on the robustness of the recovery that we've been in.
Operator: Your next question comes from the line of James Goodman from Barclays.
James Goodman: Congratulations on the deal this quarter. Maybe starting with one actually on the acquisition that you've announced in Italy. Clearly, there's a very strong competitor in that market, I'm not asking you to comment too explicitly on that. But we've seen you defend your strong positions in places like Belgium and Switzerland very well over the years and really I guess this extends to some of the other markets where you're entering with the sort of smaller positions initially. Can you just talk about your aspirations in somewhere like Italy and the extent to which you think you can compete against some very strong sort of domestic distribution in that market? And maybe as a follow-on more explicitly to the Italy question. You've historically not competed in that market because of the processing arrangement that equens has with Nexi. I mean should we just take this a confirmation that, that relationship is fully ending at the end of this year? And can you just confirm that any sort of headwind from that is fully within your expectations? And then, secondly, if I could come back on the terminal strategic review, and Gilles, picking up on your commentary near the end of the preprepared remarks around 2 options for that unit. To some, it might sound like a slightly increased preference perhaps for keeping it. So wondered if you could comment on whether there's been any change in your thinking for any reason as you progress that review, whether you sort of see a strong recovery in that asset that you sort of want to benefit from or anything like that. And the French press is talking about 1 main bidder remaining for that. Anything you can confirm or deny there in terms of reaching exclusive negotiation?
Gilles Grapinet: Many thanks, James. Marc-Henri, maybe on the first one.
Marc-Henri Desportes: Yes. On the first one, so on the position to do -- it's true, we managed to -- are very well-positioned where we had a much bigger market share in Belgium and Switzerland. This being said, we grew even more where we had the challenger position, typically historically in Germany. Now it has -- it's with a much bigger position since the merger with Ingenico, but before that we were growing very well. And now we are even growing slightly faster, but not having a dominant market share in Germany. We grew much faster than the rest of the group in Czech Republic. Of course, in the Nordics, Worldline was growing faster than the rest also. So when you have a challenger position and the strength of the global platforms, a good product mix and global solutions, you can definitely do better than a player with a much bigger market share. We have done it in the past, so I don't see any reason not to do it again. And I can add to that, that we were, in fact, having a circa 1% market share in Italy before this year. So Italy being a big country, it's not that small and we were growing with a very, very solid double digit. Sometimes nearly -- in some years, nearly triple. So it was a very good position for us and we believe that full knowledge or historical track record in countries where we had a challenger position, the potential is absolutely -- extremely big and we are very confident in delivering our plan. The relationship with Nexi, part of it historically has been renewed over the past year. Part of it, obviously, they stated in their plan that with the merger announced, merger with SIA will be rediscussed. I must say the question will be when this deal is materializing and how fast do we want to materialize this evolution. This is obviously their decision from that point of view. But we are very much willing to continue working with them in a logic of coopetition that we see currently in the payment market. So it's not as simple as ending a relationship is not what we are foreseeing.
Gilles Grapinet: Many thanks, Marc-Henri. And regarding your question on TSS, James. I mean, as a matter of fact, the strategic review has been going through steady progresses over the H1. And we have eliminated many options is what I am sharing with you today when I say we have only 2 remaining options on the table now, which is a divestment to a new owner of quality that we would trust to drive TSS transformation based, of course, on the solid partnership with Worldline for the years to come because we would source from this entity for the years to come; or to keep it within the group to initiate further the transformation to bring it to the next level, also to go into a more stable post-COVID environment and really at this moment in time the shareholding issue. But nonetheless, we have made very clear in our mind that we want to also now close many other options that won't be any longer on the table like an IPO, like a minority partnership, like partnering with strategic players, like the distribution to our Worldline shareholders. Well, we've been making a very, very thorough analysis and now are only on the table remaining these 2 options. Of course, I'm not going to comment on any particular rumor. I can only say that we have 2 solid streams on the table. And indeed, we are confident that in both cases we can create value. So the only question remaining is where do we find the most value, but we know that we would create value in both cases.
Operator: Your next question comes from the line of Stephane Houri from ODDO.
Stephane Houri: Yes. The first one is a follow-up from the previous one on TSS about the time line that you are setting for yourselves. Are you now saying that you may not have executed the strategic option before the end of 2021 and that it could be in H2 2022? That's the first question. And the second question is on the impact of the Delta variant on the H2 outlook because when you reiterated your guidance at the end of Q1, the outlook was more to think that there will be a collective immunity in the second half. Now with this fourth wave that is coming, this scenario of collective immunity is unlikely in the short term, but you are still reiterating the guidance. So can you share with us what are the moving parts here?
Gilles Grapinet: Yes. Sure, Stephane. I will take both questions as a matter of fact. On TSS, let me very clear: we don't change at all the time line. We still expect to have made the decision and started to execute on this decision this year in 2021. Regarding the Delta variant or what could be the so-called fourth wave, what I can say is the following: we are strongly believing in our guidance in the current context and given the information we have and the analysis we are having internally, and of course, looking at -- cross-checking many information with the outside world. For the time being, we have not seen any significant governmental measures that is refraining the actual reopening of the economies at scale in our major countries. Governments are obviously unanimously pushing hard on vaccination deployment with whatever type of measures, health pass, mandatory vaccination, et cetera, to protect precisely economic recovery and avoid to impose on their population any significant wide-scale lockdowns or confinements like the one we saw over the last wave. And it is very -- I think, France, where you live also is a very good example of this willingness of governments even to face sometime contestations locally, but to protect the economy and to produce the freedom of the citizens and the business. And by the way, all what we see is totally consistent with the underlying scenarios that have been shaped by the group and remembered by Eric in his comments. And so by the way, additional comment I want to share with you, Stephane, is that all the trends on transaction volume, the trends that we are measuring until mid-July remain very strong, always also well above 2019 level despite the fact that already in certain countries, the Delta variant has known some progress. So at this stage, even when we are looking at the travel side of the business, we have not seen any significant impact on the recent evolution of the Delta variant and the health situation, i.e., no debooking of what we could observe on our many travel-related sectors, whether it was airline or hotel stays, et cetera. I believe that only a massive stop in vaccination ramp-up or strict lockdown generalization could probably interrupt the expected normalization that is supporting our guidance.
Operator: Your next question comes the line of Gautam Pillai from Goldman Sachs.
Gautam Pillai: Yes. Firstly, I had one for the margins. Can you give some color on how much of the margin expansion in the second half is coming from revenue acceleration dropping through? How much is coming from synergies? And any other OpEx optimization? Secondly, can you provide an update on large bank outsourcing contracts in the pipeline? Perhaps you can provide some color on which countries you are most active in terms of discussions. And finally, following up on the terminals comments. Can you give some color on the reason for not considering the other options? Is it valuation driven or is it more strategic?
Eric Heurtaux: I will take the first one, Eric speaking. So actually, in terms of margin evolution for H2, it's probably a combination of the 3 items you mentioned, not surprisingly. But what you can guess is that the most secured one is the synergy. From the presentation of Marc-Henri, you understand that we are very confident on this first year of synergy and this one is now fully secured. So this one is definitely there. There is also some top line expansion. We expect -- you got it. We expect a double-digit growth and operating leverage. This should generate some margin expansion as well. I think the last one, which is more an adjustment variable that we may use is the OpEx. Of course, if the situation was tougher on the top line, we may decide to optimize a bit more our cost. When, at the opposite, and this is the scenario we would prefer, in case the top line is evolving very well. We would reinvest in order to be able to take benefit of the top line in H2, but also next year. So this is really a combination of those 3 that we will be in a position to deliver significant improvement for the full year, reaching this 200 bp that we have factored in our guidance.
Gilles Grapinet: Thank you, Eric. Marc-Henri?
Marc-Henri Desportes: Yes. On the large outsourcing deals, as I said in our presentation, we are enjoying a very solid pipeline, which improved both in quality and value over the recent period in the Financial Services business, a lot of new business. We have a good diversification of types of deals on the back office of payments; account payments; over in card payments, issuing payments in particular. And we also have -- we announced a deal on Luminor. We have some others on ATM outsourcing, which banks now tend to consider as a commodity and they are looking for partners to modify this part of their portfolio. So diversity in type of deals. Diversity in geographies, in a lot of our core or classical geographies, Northern Europe, Germany and others. So there is diversity, there is -- in the mix of countries and types of deal.
Gilles Grapinet: What we can say maybe, Marc-Henri, is that there are, I think, a few banks that are also putting on the table things that we did not see in the past years recently, for example, Pan-European consolidation, outsourcing opportunities, banks that are having multiple operations in different countries, trying to regroup all that under one contract with one of the processor and...
Marc-Henri Desportes: Yes. Through an evolution linked to probably a strategic consultant that now manage to convince bank, I would say, top management that a deeper strategic review of their portfolio would make sense and there is more value to be created by us on the outsourcing, which is a momentum that has taken probably a new moment -- a new dimension, thanks to the COVID pressure.
Gilles Grapinet: Yes. And regarding your third question on there is some reasons for which we actually do not retain certain options of the future of TSS, like an IPO, for example, clearly I believe for an IPO, the time -- the window is not there. But it can be a very valid option for a business like TSS. It has the size and the global reach and it has the leadership position. We believe it would be probably better in a post-COVID normalized environment to present the case to investors and also probably to wait that we have 12 to 18 months more of the transformation on PPaaS and TaaS with a further proof point for an IPO,for example. We have been looking at a minority shareholding. Minority shareholding would not really bring the extra boost of a majority financial sponsor could bring to the business. So we tend to believe it would be a less favorable option. So we try also to make our life simpler with 2 very clear-cut options: these are divestment of a controlling stake with the financial sponsor that would bring extra muscles, more investment and support the management team, and of course, a solid partnership with Worldline for the business; or we keep it, we initiate the transformation and let's say, in 18 months, maybe we revisit the topic depending where we are both in the macro environment around us and in terms of success in the transformation. In both cases, I reiterate, we are very comfortable that we have value-creative options ahead of us, and we are ready to execute on the time line I already mentioned answering Stephane's question.
Operator: Your next question is from the line of Sandeep Deshpande from JPMorgan.
Sandeep Deshpande: My question is -- maybe you could answer this at your Capital Markets Day later in the year. But when you look at Worldline today, it is a Merchant Services activity, Financial Services activity. Do you plan to get into other parallel activities along with this -- along this journey?
Gilles Grapinet: I recognize, Sandeep, the depth of your understanding of the payment market. I mean let's wait for the Investor Day indeed. There are interesting adjacent sectors that are -- that could be addressed by a company like Worldline. I don't want to disclose here earlier than the Investor Day what we could do in the vast payment ecosystem. But you're right, we are working hard ourselves on the strategic direction we could give to the business. We both know because we talked about it together already that there is, for example, a segment that we have not really seriously addressed. We are primarily a retail payment organization. But we know also that there is a vast market that is much less structured that is B2B payment, for example. It is also a topic that we are monitoring very closely with our strategy team and business teams. But I mean, let's get back together in person fully on the 27th of October to share with you some thoughts and some action that the company could initiate in the coming years.
Sandeep Deshpande: I mean you've announced the Handelsbanken deal today. I mean are there more such bolt-on deals in the pipeline that you are working on at this point?
Gilles Grapinet: Yes, indeed, there are. Thank you, Sandeep.
Operator: Okay. Sir, your next one comes from the line of Alexandre Faure from Exane BNP Paribas.
Alexandre Faure: I've got a couple of follow-ups and a question. So one is on this M&A around bolt-ons. As you highlighted, you announced 4 deals this year, I think so far, perhaps we see a little bit more. When you look at your group, this new business unit, Merchant Services-FI, how many bolt-ons do you think can actually integrate into the Worldline group every year? So that would be my first question. Second one would be a bit more detail on those large deals in FS, Marc-Henri, if you can. I think in the past, you used to say that large deals would be sort of EUR 200 million of TCV over 10 years. the group is now quite a lot bigger. So is it still the sort of rough number we should have in mind? Or could this be even larger? And finally, my one question would be around these growth rates you're guiding for your acquisition in the Nordics of double digit. Could you please unpack this a little bit for us, what's coming from market growth, what would be up-sell, cross-sell, would be share gains? Just trying to understand the dynamics here.
Gilles Grapinet: Just Alex, maybe on the first one, I mean, the point of MS-FI is to try to make Worldline for this type of medium-sized deal really a plug-and-play platform. It is really what we are striving for and to be able -- never been constrained by our ability to do business, why also I mentioned sooner that we'll obviously, because there are much less execution risk and also much less complexities sometimes in a very large-scale deal, on top of being super interesting financially, they are very attractive. If you compute the synergies, you can see that my circa 15x, which is before synergy can go much lower than that, the synergy in run rate. So this is really super with the rate. Marc-Henri, maybe I'll let you take the floor from there.
Marc-Henri Desportes: Not much clearer on that. And this is a team that has grown superbly over the last month and have shown a capacity to grow and to integrate talent coming from the post-merger integration pool and also talent from deal-making. So I think we are already in the momentum of continuing their growth and their journey. We don't put to this team a limit. Coming to FS outsourcing deals. I think the driver or the size of the deal is the market rather than our size. Our size can allow us to have a stronger reach and to be even more connected and more relevant for deals. But I think when we announced the UniCredit deal, it was the biggest deal in the European market arranged. So it's not us who are a limiting factor, it is the market who need to evolve and to mature. And from that point of view, we see, as Gilles was mentioning it, an evolution. It will evolve at the rhythm of the market. But at this stage, we are still glad to see 3-digit number of deals as a big deal and we continue looking at them in this way.
Gilles Grapinet: Last question, maybe it was -- maybe more for you, Eric.
Eric Heurtaux: So on the growth of the Nordic, actually, indeed, your question is very valid because you know this market is already very penetrated, still growing so that the market trends will continue to support the growth. But you're right, this is mostly through a combination with our Bambora platform, which is a fantastic growth engine that we have inherited from Ingenico. But we believe we can boost the growth for this acquisition through up-sell, cross-sell and market share gain. So Bambora itself was growing significantly more than the market. And we believe that we can apply this recipe on a larger scale, integrating indeed on Handelsbanken.
Gilles Grapinet: And it is not only us believing so because I think it has been also one of the reasons of the choice by Handelsbanken of Worldline relatively, to have a commercial alliance with them. And of course, double-digit track record in the Nordic market has been, I guess, also a proof point of our ability to be the right partner, okay? Many, many thanks for your questions and being with us this morning for this important rendezvous of the group. We really look forward confidently hopefully in H2 to road show with you in person and to, more importantly, maybe again, welcome you in person at the time of our Investor Day at the end of October. Stay safe, enjoy the summer break. And maybe, of course, in the coming days, happy to interact with you as part of the road show or the interaction with our IR team. Goodbye.
Eric Heurtaux: Bye-bye.
Marc-Henri Desportes: Bye.